Operator: Greetings, and welcome to the Stratasys Q3 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Yonah Lloyd, Chief Communications Officer and VP of Investor Relations. Please go ahead, sir.
Yonah Lloyd: Good morning, everyone, and thank you for joining us to discuss our 2024 third quarter financial results. On the call with us today are our CEO, Dr. Yoav Zeif, and our CFO, Eitan Zamir. I would like to remind you that access to today's call, including the slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call, including access to the slide presentation, will also be available and can be accessed through the Investor Relations section of our website. Please note that some of the information provided during our discussion today will consist of forward-looking statements, including without limitation, those regarding our expectations as to our future revenue, gross margin, operating expenses, taxes and other future financial performance and our expectations for our business outlook. All statements that speak to future performance, events, expectations or results are forward-looking statements. Actual results or trends could differ materially from our forecast. For risks that could cause actual results to be materially different from those set forth in forward-looking statements, please refer to the risk factors discussed or referenced in Stratasys' annual report on Form 20-F for the 2023 year. Please also refer to that annual report along with our reports filed with or furnished to the SEC throughout 2024 for additional operational and financial details. Reports on Form 6-K that are furnished to the SEC on a quarterly basis and throughout the year provide updated current information regarding the company's operating results and material developments concerning our company. Stratasys assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. As in previous quarters, today's call will include GAAP and non-GAAP financial measures. The non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Non-GAAP to GAAP reconciliations are provided in tables in our slide presentation and today's press release. I will now turn the call over to our Chief Executive Officer, Dr. Yoav Zeif. Yoav?
Yoav Zeif: Thank you, Yonah. Good morning, everyone, and thank you for joining us. Last quarter, we shared that we were taking decisive actions to better align our business with the realities of today's market. Importantly, beyond these actions, we remain agile, financially strong and well-positioned to benefit from the eventual turn in the cycle. We are committed to the financial execution of our plans and have transformed the company by removing costs and streamlining the business to focus on the largest industry targets where we see the most opportunity for growth, particularly in manufacturing applications across automotive, defense, aerospace, medical devices and dental. For example, the F3300, our most recently launched technological innovation, has generated excitement from the market and is expected to help us expand our presence in factory floor manufacturing across multiple industries. In dental, where 3D printing is already a standard method, our proven TrueDent solution is highly regarded for its groundbreaking disruption in both cost and fit when it comes to dentures. Additionally, our suite of specialized software offerings is starting to gain traction, which we believe will drive the increased high-margin revenues in the coming years. Our key target industries demonstrate not just the greatest growth potential in our opinion, but also the most significant overall TAM for additive manufacturing, and they are in the early stage of adoption. While we appreciate that we now must deliver on the initiatives we have put in place in a sustained manner and that it will take time, we are pleased to share that we are already starting to realize benefits. Following 10 quarters of positive adjusted earnings per share, as challenging market conditions persisted further, we incurred only minor losses on an adjusted basis in the first half of this year. Now, as a result of our transformative actions, and without the tailwind of any market recovery to this point, we quickly returned to profitability on an adjusted basis in the third quarter. These results demonstrate our team's ability to execute a comprehensive undertaking, an attribute that continues to set Stratasys apart. Now, let me dive a bit deeper into our results for the third quarter. Our business continues to demonstrate its fundamental strength through improved margins and our ability to maintain a robust balance sheet. We were able to deliver our eighth quarter in a row of year-over-year growth from our recurring revenue consumables sales. And similar to the second quarter, the resilience in consumables was primarily driven by FDM technology utilization. This underscores two key takeaways, the stability of our recurring revenue model and our customers' accelerating transition from prototyping to manufacturing applications. As customers increasingly leverage our solutions to optimize cost and enhance operational efficiency, we are well-positioned to expand our manufacturing presence with upcoming product innovations. We believe our focus on furthering customer enablement through additive education and investment will make a big difference as our customers enhance their understanding of how to fully utilize additive manufacturing design and workflow benefits in tandem with other traditional processes. Our strategy for driving long-term shareholder value centers on targeted innovation across materials, knowledge and workflow solutions in high-growth target industries that benefit from emerging megatrends. Those include addressing supply chain risks, onshoring, new mobility, customization, sustainability and a non-stop drive for greater efficiency and lower cost across the manufacturing spectrum. Through disciplined ongoing investment in technology and material development, coupled with a focused approach to key end-users, we are laying the foundation for Stratasys' next leg of growth once the current downcycle inevitably subside. During the third quarter, we achieved a number of milestones and new product introductions. We continue to drive demand for our new flagship F3300 industrial platform, which we showcased at the International Manufacturing Technology Show in Chicago in September. Designed for superior performance, the F3300 delivers high-quality, durable thermoplastic parts with unmatched accuracy. It delivers faster print speeds with industry-leading repeatability, and significantly reduces downtime, making it the premier offering in its class. We continue to generate interest and order for the F3300 and are already shipping system to key customers, leading companies across automotive, aerospace and defense sectors, along with commercial and industrial manufacturers. During the third quarter, we launched our new Origin 2 printer, along with the Origin Cure post-processing system. While our primary focus is on expanding additive manufacturing at scale, this solution helps a subset of our customers focus on the growing demand for injection-molding quality for short production runs. A great example of a target industry for this technology is connectors, where manufacturing costs are high and the production runs are in line with what this particular technology can deliver. This is one of many compelling opportunities for us and for our customers such as TE Connectivity, who serve the aerospace, automotive and other sectors. We also launched our Stratasys Neo Build Processor for investment casting, a unique solution designed in collaboration with Materialise to accelerate the production of high-quality investment casting master patterns. Developed for the Neo450 and Neo800 SLA printer, the Neo Build Processor delivers up to 50% faster file processing and significantly enhanced print speeds, streamlining the 3D printing workflow for manufacturers and service bureaus in the aerospace and other demanding industries. Given our focus on returning value to shareholders, in September, our Board of Directors approved a $50 million share repurchase plan, which we have already started to execute. We are committed to maximizing shareholders' value, while maintaining a strong balance sheet and are taking additional steps to unlock value, including seeking to monetize certain high-value assets. I'd like to take a moment to provide additional details on the critical strategic initiatives that we have implemented recently. On last quarter's call, we unveiled a plan designed to reinforce our industry leadership and ensure sustainable profitability across market cycles. Our action plan centers on two critical objectives: realigning our operational costs with current market dynamics through a workforce reduction of 15%, and intensifying our focus on accelerating customer adoption by eliminating implementation barriers. These measures aim to create a more resilient business model that consistently generates profits and positive cash flow. Our implementation of the restructuring plan is ahead of pace, as evidenced by the improvement in operating margins that Eitan will discuss in a moment. We are on a track to achieve our target of $40 million in annual cost savings, starting in the first quarter of next year, while also enhancing our go-to-market strategy to focus on the highest growth products, materials and software solutions. These actions are designed to help us align costs with current conditions, build a long-term profitable, cash-generating business and stay agile during downturns, while being ready to respond quickly when customer spending returns. Importantly, we are committed to delivering increased profitability and cash flow in 2025 that we discussed on our last call. We are confident that once current headwinds subside, renewed access to capital will spare customer spending to more accurately reflect the expressed high demand for our solutions. Over to you, Eitan.
Eitan Zamir: Thank you, Yoav, and good morning, everyone. This quarter demonstrated the resilience of our operating model, a key differentiator relative to peers in our sector, as well as the fast actions of our team as we delivered improved gross margin and bottom-line profit despite year-over-year pressure on revenues. These results were thanks in part to yet another quarter of year-over-year growth in consumables sales and faster-than-anticipated progress on our cost control initiatives, enabling us to increase our profitability expectation for the year. Now, let me get into the details of our numbers. For the third quarter, consolidated revenue was $140 million compared to $162.1 million in the same quarter in 2023, due to persistent softness in capital equipment spending. Product revenue in the third quarter was $94.1 million compared to $113.2 million in the same period last year. Within product revenue, system revenue was $31.7 million, a sequential improvement from the second quarter, yet off compared to the $51.5 million we produced in the same period last year. Consumables revenue grew 1% to $62.4 million compared to the same period last year. As Yoav mentioned, this is our eighth straight quarter of year-over-year growth. Our ability to consistently grow consumable sales despite the changing backdrop signals that the utilization rates of the systems we have sold remain robust. It's important to note that we continue to expect consumables demand to be resilient for the foreseeable future, despite recent weakness in hardware sales, as the installed base continues to be well utilized. Service revenue, including Stratasys Direct, was $45.9 million compared to $48.9 million in the same period last year. Absent divestitures, service revenue was off a bit more than 0.5%. Within service revenue, customer support revenue was up 1.3% compared to the same period last year. Now, turning to gross margins. GAAP gross margin expanded to 44.8% for the quarter compared to 40.5% for the same period last year. Non-GAAP gross margin also grew to 49.6% for the quarter compared to 48.3% in the same period last year, and it's the highest since Q4 2019. The improvement versus the prior year period was driven in part by a greater mix of consumables and higher margins at Stratasys Direct due to divestitures. GAAP operating expenses were $88.2 million compared to $108.4 million during the same period last year. The improvement in expenses was primarily due to lower costs related to prospective and potential mergers and acquisitions, defense against a hostile tender offer, proxy contest and related professional fees. Non-GAAP operating expenses were $69.6 million compared to $74.2 million during the same period last year, due primarily to lower employee-related costs, including early benefits from the cost-saving initiatives announced last quarter. Non-GAAP operating expenses were 49.7% of revenue for the quarter compared to 45.8% for the same period last year. Regarding our consolidated earnings, GAAP operating loss for the quarter was $25.5 million compared to a loss of $42.8 million for the same period last year. Non-GAAP operating loss for the quarter was $0.1 million compared to operating income of $4.1 million for the same period last year. The change reflects the lower overall revenue, offset somewhat by the improved gross margin and lower employee-related costs. GAAP net loss for the quarter was $26.6 million or $0.37 per diluted share, compared to a net loss of $47.3 million or $0.68 per diluted share for the same period last year. Non-GAAP net income for the quarter was $0.4 million or $0.01 per diluted share, compared to net income of $2.4 million or $0.04 per diluted share in the same period last year. Adjusted EBITDA was $5.1 million for the quarter compared to $9.8 million in the same period last year. We also improved our cash utilization during the quarter as we only used $4.5 million of cash in our operations during the third quarter compared to $12.7 million in the same quarter last year. Year-to-date, our operating cash flow remained positive. We ended the quarter with $144 million in cash, cash equivalents and short-term deposits compared to $150.9 million at the end of the second quarter this year. Our balance sheet remains strong and is expected to improve as the impact of our cost-saving measures accelerates in the fourth quarter of this year and beyond, strengthening our ability to act on value-enhancing opportunities. Now, let me turn to our outlook for 2024. We are reiterating our expectation that full year 2024 revenue will range between $570 million to $580 million. We are raising the margins and profit forecast. From a gross margin perspective, we now expect full year 2024 to be slightly higher than what we shared on our last call in the range of 49% to 49.2%. For 2024, we expect our operating expenses to range between $276 million to $278 million. We expect non-GAAP operating margins to range between 0.6% to 1.3% for the full year. We anticipate a GAAP net loss of $105 million to $90 million or $1.48 to $1.27 per diluted share. And non-GAAP net income of $2.1 million to $5 million or $0.03 to $0.07. Adjusted EBITDA is expected to be in the range of $25 million to $28 million for the year. Capital expenditures are expected to range between $15 million to $20 million for the year. And while we are not providing a formal 2025 outlook, to Yoav's point on the actions we are taking to align the business to current condition, we would expect to generate 8% EBITDA margin even if there was no revenue growth compared to 2024. And if we can achieve even slightly moderate revenue growth, given the operating leverage in the business, we could reach at least 10% EBITDA margin. With that, let me turn the call back over to Yoav for closing remarks.
Yoav Zeif: Thank you, Eitan. With our effective implementation of key initiatives to transform the company since the end of the second quarter, we have streamlined operations, improved margins and tightened our focus to the most compelling use cases. We are enabling our customers to more easily ramp their adoption of additive manufacturing with enhanced go-to-market engagements and better education for their system users. We are laser-focused on delivering increased profitability while preserving our strong balance sheet. With our market-leading systems, software and consumables, we are poised to outperform when capital spending returns. Stratasys has been a leader in additive manufacturing for decades. And with the actions we have taken, we have repositioned the company to extend that leadership in the years ahead. Our customers continue to expand the use of our systems and solutions. Through this turbulent point in the cycle, we are setting the stage for a return to significant growth, expanded profitability and value-creation for our shareholders. With that, let's open it up for questions. Operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Jim Ricchiuti from Needham & Company. Your line is now live.
Jim Ricchiuti: All right. Thank you. So, if I look at the implied revenue guidance for Q4, which is up sequentially, your EPS guidance seems to suggest a breakeven, kind of a breakeven quarter. And so my question is, are you anticipating some pullback in gross margins where we've, obviously, seen some nice improvement, or maybe is there something else in OpEx, higher trade show expense or some other factors? And then, I have a quick follow-up.
Eitan Zamir: Thanks, Jim, for the question. So, let me help you maybe and everyone to think how to model Q4 and the full year. As you probably saw, we've updated the annual 2024 EPS to $0.03 to $0.07. When you take the first nine months' EPS and you deduct that from the annual EPS, you get to a Q4 that is in the range of positive $0.08 to positive $0.12 for Q4 only. So, I'm not sure the math...
Jim Ricchiuti: Okay. You know what, it's my mistake. I apologize. I may have just had some bad note. Thank you for clarifying.
Eitan Zamir: For sure, but actually it helps me if that's okay to highlight that. This is exactly the change we announced last quarter. We said that Q3 will start to benefit the savings, but Q4 is going to be significantly positively impacted by the restructuring, and it is translated into that relatively high EPS level in Q4.
Jim Ricchiuti: No, thank you for clarifying that. Follow-up question just relates to -- look, I know you're not giving any kind of specific guidance beyond Q4, but the fact that you're showing some year-over-year improvement, that you showed year-over-year improvement in Q4, is there any reason that that wouldn't be the case in Q1 from a year-on-year standpoint? Obviously, it's going to be the normal seasonality sequentially from Q4 to Q1, but just wondering how we might be thinking about the early start to the new -- to next year, just the market is still uncertain I know. Thank you.
Eitan Zamir: Thanks, Jim. So, as we noted, actually to continue from my last answer, when you take the actual three quarters and the full guidance on the revenue, basically the derivative is Q4 that is between $148 million to $158 million, as we noted. This is partially a seasonality Q4 has been strong for us and for most of the industry over the years. So, it's a seasonality, it's a pipeline that we see, but it's too early to say how the first half of 2025 would look like, and we're not guiding of course yet about 2025.
Jim Ricchiuti: Thank you.
Operator: Thank you. Next question today is coming from Troy Jensen from Cantor Fitzgerald. Your line is now live.
Troy Jensen: Hey, gentlemen. Congrats on the good cost cuts and good results here.
Eitan Zamir: Thank you.
Troy Jensen: Hey, so first of all, guys, just on the consumables, I know you've had the great year-over-year growth, eight consecutive quarters, but on a sequential basis, it's been down two quarters in a row and we're only at -- kind of I'd say the year-over-year growth rate has kind of declined from kind of 12% to 1%. So, can you just talk about any concerns of that going negative here in Q4 or what's going to get us back to kind of high-single-digit kind of growth in consumables?
Yoav Zeif: Hi, Troy. Thank you for the question. I think this is something that differentiates Stratasys. We have a very solid recurring revenue model, very solid which helps us, especially in those challenging times. If I look at consumables, first of all, the fact is that it grows year-over-year, and this growth is a reflection of the solid revenue stream. One thing for sure, it is growing year-over-year. And we can see it's a trend and it is supported by the fact that we are going to manufacturing that we have a large installed base and this installed base is growing year over year over year. And the fact that we are going to manufacturing support higher utilization and we are also selling more high-end equipment that consume more faster. So, new system will always consume more than an old system, and this is a very healthy trend. Quarter-by-quarter, it could be lumpy, but year-over-year, we are committed for growth. And we are putting out new materials regularly. So this is part of the ongoing business. Every quarter we have more materials on top of the fact that we have already the largest portfolio of materials.
Troy Jensen: That's fair. Okay. And just a second question, I believe last week there was another round of workforce reductions. Curious was this a new initiative or was this kind of the continuation of what you guys said three months ago.
Yoav Zeif: I don't know, maybe you reduced the workforce, but we did not. We had one restructuring, and of course, there are some ongoing regular course of business of people living and we are recruiting, but there was one restructuring, one move, we executed it ahead of plan, which helped us already in Q3, although we didn't plan for it. And it's put us in a great position, both commercially, financially and in terms of the cash position that we finished the quarter, better than we expected.
Troy Jensen: Understood. All right, guys, good luck going forward.
Operator: Thank you. Next question is coming from Greg Palm from Craig-Hallum. Your line is now live.
Greg Palm: Yeah. Thanks for taking the questions and congrats on the better results here. Maybe just to start thinking back on the last 18, 24 months in this cycle, just thinking about just softer manufacturing, policy uncertainty, you've had inflation, interest rates, all that stuff that we've talked about, any way to kind of rank order the importance of some or all of those? And I guess, where I'm going with this is even in an environment where maybe rates don't come down, if we've got at least sort of policy certainty in a little bit sort of better manufacturing activity, does that give you more confidence that maybe you can see some of this pent-up demand sort of flush through the pipeline? Just kind of curious to get sort of your broader thoughts going into 2025.
Yoav Zeif: So, great question. Thank you for the question. As you said, it's all about the current macro environment. In high-cost capital environment, our customers don't have the urgency to invest in new innovative technologies. And that's what we are facing. This is reality. So, the macro is the main issue no doubt. But still there are significant lights out there like the utilization of our equipment and our machines. So, we see that this technology is needed, and quarter after quarter, it is more important for our customers. And we use this time to strengthen already the best portfolio in the industry and to make sure that we will be ready when the positive turn will come. And what we believe, as you mentioned, this is a cycle, but the megatrends are there. And we are talking about the same megatrends for years, but we are more focused now on capturing the benefits from them. We are talking about the need for resilience and agile supply chain. We're talking about on-shoring especially now with the new geopolitical environment. We are talking of localization of manufacturing, new mobility trends, customization, especially in medical and dental. Dental for us is a huge thing especially with our denture. We're talking about overall digitalization of manufacturing. Those megatrends are there no matter what is the level of the interest rate. So, I believe -- we believe it's only a matter of time and we just need to be ready when the market will change -- will turn. And we are investing to increase enablement, education, to increase the use of our technologies in proven use cases. And when I'm saying proven use cases, I mean a use case where we know that additive, especially our solution, is better than the traditional one. We have a great ROI, but there is no appetite from the customers now to adopt it because of the macro environment. And we have many examples, mainly in aerospace, in automotive tooling. For example, we have an automotive tooling player that has tens of our machines, a North American player. He has tens of our machines, but you know how much of his overall tooling spend is going to additive, only less than 1%, and tooling is a $12 billion addressable market. And when we are talking with our customer and we ask them what is the potential of additive, they said 25% to 27%, and now we are in 1%. So, when macro -- we have a better macro condition. I believe in an upside, actually you know what, a tremendous upside.
Greg Palm: Got it. Yeah, that's helpful. If I could just shift gears on the gross margin guidance specifically, I guess, I appreciate -- I think a lot of us appreciate the conservatism, I think the implied guide for gross margin for the year means that Q4 gross margin is going to be flat to down on obviously much higher revenue levels than what you just put up and maybe a little bit of benefit from restructuring. So I guess, is there a mix issue relative to Q3 or is it just more out of conservatism?
Eitan Zamir: Thank you for the question. So, first of all, the Q4 gross margin, at least based on our forecast, is going to be slightly higher than Q3. That's why the full year total guidance will be between 49% to 49.2%, but we have confidence in the ability to achieve it. We plan -- we expect to sell more hardware in Q4. So, to your point you mentioned that that will impact the mix, however, we are very excited about the ability to grow hardware in this environment. So, it's a matter of mix. We're moving step by step and increasing and improving our gross margin. The 49.6% that we had this quarter is the highest gross margin since Q4 2019. So, almost a record for the -- almost for the last five years. And in general, you can see that from the last few quarters, our gross margin is strong, it's stable and we believe that with the restructuring and with all the other things that we're doing, we will continue to improve it and increase it in the near future.
Greg Palm: Okay. Yeah, it's a good point. And I guess just last one, maybe a clarification. Did you say you've already started buying back stock? I thought I kind of heard that and just kind of curious to hear what your thoughts around of sort of the pace and usage of that authorization.
Eitan Zamir: Sure. We've started to purchase shares in Q4 and we will update you as part of the Q4 results that's going to be part of our, of course, financial reporting process, but we do that gradually and we find the right balance between the purchase of shares and securing our cash position. But to your question, we've started the process, yeah.
Greg Palm: Understood. Okay. I will leave at there. Best of luck. Thanks.
Operator: Thank you. [Operator Instructions] Our next question is coming from Brian Drab from William Blair. Your line is now live.
Brian Drab: Thank you. I don't know if you made any comments on the 3300, but can you update us on how that rollout is going? I think on the second quarter, you said you're hoping to sell a few more of those in the second half of the year than the first half. Thanks.
Yoav Zeif: Thank you, Brian, for the question. In two words, it's going well, going well. This is our flagship in industrial solutions. It's a whole platform starting with F3300, and it definitely and we hear it from our customers, delivers superior performance for industrial users. So, we have sold -- we shipped to variety of markets. The first customers are highly trusted one, very professional like Toyota, BAE Systems, Nissan and many others. And definitely there will be kind of a flywheel effect because when those customers are buying a machine and adopt it, it's a trigger for others because they want to stay competitive. And this machine delivers double the speed of any other machine on this segment. So, it's going well. We have a nice pipeline and backlog and we are very optimistic and we keep investing in expanding this platform.
Brian Drab: Okay. Thank you. And then just one other question for now, I mean clearly the election results are very recent, but the discussions around the potential outcome and tariffs and that have been ongoing for months. So, I'm just curious how you think about the opportunity for on-shoring and a focus on US manufacturing to help Stratasys. And have you had any discussions with customers that are -- where you actually see kind of the wheels in motion, some of these customers maybe making moves and what end markets might you benefit in this kind of scenario? Thanks.
Yoav Zeif: Thank you. Great question. No doubt that the latest results support the megatrends. Those megatrends that I already mentioned about localized manufacturing on-shoring, it is clear that this is a tailwind for us. I didn't -- I don't want to share anything from customers now, but just a year ago, I participated in a conference of CEOs and discussing the impact of the US-China relationship. And it was clear there that additive has what to offer in this decoupling from China. And I guess now and I'm not getting into politics, it's even strengthening this topic. So, we are optimistic.
Brian Drab: Okay. Thank you very much.
Operator: Thank you. Next question is coming from Jacob Stephan from Lake Street Capital. Your line is now live.
Jacob Stephan: Hey, guys. Thanks for taking the questions. I'll kind of ask a similar broader macro question in a little bit different way. But obviously, we've had two rate cuts since you last reported, the change in administration and there's also been an acquisition of one of your competitors. I'm just curious maybe you could kind of help us, I guess, quantify or qualitatively maybe, how are you seeing demand trends in some of your newer product lines with the Origin 2 and maybe Neo and maybe contrast that to the H350?
Yoav Zeif: I would say -- thank you for the question. I would say that demand is there. In some cases, we have more leads, depends on the country and technology and the use case. In some cases, we have even more leads than we had in the past, before the downturn, which is unbelievable. The problem is not the leads or the engagement or the interest. The problem is the sales cycles. It takes customer much more to make a decision. As I said, there is no agency here now to adopt new technologies and invest capital. So, the demand -- that's what we always said, the pent-up demand is there. So...
Jacob Stephan: Got it.
Yoav Zeif: ...we believe that those megatrends, plus the changes in the market, and you mentioned very important two changes. One is the election and economic atmosphere and the other one is the fact that there was excess supply in additive manufacturing, which was not sustainable and how many companies are pushed out of the market and it's healthy. It's a process of being more mature as an industry and focusing on what is important to our customers. And that's what we are doing. I'll give you an example. We are focused on automotive. So, we are going to the most difficult customers that have the highest requirements, for example, Formula 1 customers or [Moto Racing] (ph) customers. And we proved the point that our technologies like wind tunnel where we are already more than 60% of the Formula 1 with this or end use parts for automotive and short-run automotive producers in car racing. Once you prove it there, it's only a matter of time when we will open up to the mass manufacturing. And we shift our focus from proven the use cases and the advantage of these use cases to mass production.
Jacob Stephan: Okay. Thank you. And then maybe just switching to the restructuring initiative, appreciate all the color on that, but now that you're kind of a few months into it and it's tracking well ahead of expectations, are you seeing any other areas where maybe you can take additional costs up without any additional layoffs? Or do you feel like this the $40 million is kind of the only significant change you'll make? Thanks.
Eitan Zamir: Thanks, Jacob, for the question. So, first of all, we're always focused on efficiency and very tightly monitor our costs. The restructuring plan has significant headcount-related savings, but there are also other savings as we mentioned also on the last quarter's earnings call. This restructuring plan was driven by a strategic change or update. So, there are projects that are no longer part of our strategy and where fields were canceled. We shut down certain locations. There are different cost savings that are non-headcount related and we're very focused on completing these areas. And that's why we said that we expect only at the beginning of next year to achieve the fully annualized impact of the $40 million that we promised the market. As you mentioned we're ahead of the plan. It helps us to shift to profitability already in Q3, which is better than we promised last quarter and expected. Significant savings will be realized in Q4. That's why we have confidence on the ability to deliver significant EPS in Q4. That will of course will be translated to positive cash flow once those savings are materialized to significant cash flow impact in 2025 which is important. And that will put us in the best commercial and financial position in the market. As we mentioned earlier and also last quarter, once the $40 million annualized savings are achieved that will be translated into 8% EBITDA assuming that there is no change in the revenue levels. And if revenue levels will increase that could get us very quickly to double digit EBITDA, which is very meaningful and critical for us and, of course, for the market.
Jacob Stephan: Appreciate it, guys. Thanks.
Operator: Thank you. Next question today is coming from Alek Valero from Loop Capital Markets. Your line is now live.
Alek Valero: Hey, guys. Thank you for taking my question, and congrats on the results. I actually have a quick follow-up on the annual cost savings. So, I believe you guys mentioned in your previous earnings call that you have a target of 15% headcount reduction by the end of this year. I guess, my question is like, you mentioned you're ahead of plan, so I understand that, but any -- can you give any sort of like remark on like how much percent there is left for this year?
Eitan Zamir: Thank you, Alek. So maybe I will elaborate a little bit about what does it mean to be ahead of plan, okay? So, first of all, out of the $40 million, as I mentioned earlier, out of the $40 million saving target, significant portion is headcount. But again, there are many other initiatives that are non-headcount related. Again, few examples is, closing certain locations. We're a global company that acquired few businesses in the last few years [Technical Difficulty] and there are a few other examples. But again, I want to emphasize it's not only a headcount related. So, when we say that we are ahead of the plan, and, of course, you've experienced many companies that announced restructuring, we're actually quite proud about our ability to execute what we've announced on August 29 on the second quarter earnings call to be able to very quickly execute this plan and to achieve some of the savings already in Q3, which means one month after we announced it as part of the Q2 earning call, that's something that we're very proud of and, of course, came with a lot of effort, but it's still only a small part of the annual target saving. That's why in Q4, we're certain we have much more confidence on the ability to achieve much bigger significant portion of the annualized level and to generate those high EPS that I mentioned earlier.
Alek Valero: Yeah, that's super helpful. Thank you for that. Just as a quick follow-up, change it up a bit here. Can you guys maybe say like a few key milestones that we should look out for TrueDent moving into next quarter and beyond?
Yoav Zeif: That's a great question. We are very proud in our TrueDent solution. It's so unique that we are going and when we are meeting dentists, they are amazed from what you can do. This is an anecdote, you can reduce the number of visits with the dentist from six to eight to two and still the customer or the patients will feel more comfortable with the new dentures. Practically, this is the spearheads of restorative dental. We are the first one, the best and the most aesthetic monoblock dentures in the market. So, I want to thank our teams. By the way, I want to thank our teams also for the restructuring. This is a record execution what they have performed. When I'm talking about the milestone, you need to look at two things that we are doing. It's the penetration to clinics and the regional penetration. Those are two axes that we have. So, one important milestone that we will take it from North America, US, to EMEA and APAC, and this is very soon. The second thing is that when we are talking about penetrating dentists, it's about creating credibility and education with the leading institutions and labs starting with the US and moving to Europe. And that's what we are doing. And you will see step by step, we are showing the solution, and we are improving the solution all the time, by the way, in terms of aesthetic and translucency, it's getting better and better every day. We are going to present it in the IDS show in late March, which is the biggest dental show in the world like 180,000 participants in Germany. And we expect to see more regions, more clinics, credibility of being -- having credentials from the top dentists institutions and then getting also to many different bodies that adopt dentures. For example, we have interaction with the government, for example, for the Army. This is just as an example. But in short, we go to more regions to get the certification and we are opening up more clinic through new credentials.
Alek Valero: Awesome. Thanks so much for that, guys. Appreciate it.
Operator: Thank you. Next question -- please proceed.
Yoav Zeif: Sorry, one more thing. So, this is about our dentures. Another super important use case for us is government and defense. This is a growing segment and we will keep growing. Some may say unfortunately, but it keeps growing. We are very strong there. We are the leader in aerospace and defense, and there are strong milestones that we put in front of us in terms of opening up new applications in defense, and you will see it as well.
Operator: Thank you. Our next question is a follow-up from Jim Ricchiuti from Needham & Company. Your line is now live.
Jim Ricchiuti: And you've actually touched on, I think, the question I'm going to ask. Just with respect to where you're seeing some of the early signs of recovery, you're highlighting I think some at least you sound encouraged by what you're seeing in dental. You seem to be more optimistic clearly on the aerospace and defense. I don't know if you're already seeing that translate into systems demand. But that's why I'm trying to get a sense, of your end markets, where might you see -- are you seeing more signs of recovery? And maybe conversely, just from an investment standpoint, where customers in some other verticals, maybe automotive, still a little bit more cautious?
Yoav Zeif: I would say in this order, government and defense, aerospace, automotive tooling, dental and medical.
Jim Ricchiuti: Okay. Helpful. Geographically, any demand -- any changes in demand trends that you saw in the quarter?
Yoav Zeif: Not really. Like, it started in the US and it moved to EMEA and APAC, but currently it's a soft hardware market.
Jim Ricchiuti: Okay. And maybe if I could slip one final one in, just you seem to be seeing some nice progress with GrabCAD Print Pro. I'm wondering is there any way to think about the revenue contribution in this area of the business as we look out over the next year.
Eitan Zamir: Jim, that's a good question. We put a lot of efforts around our software solution. As you mentioned, revenue is increasing, is growing significantly. I'll just remind everyone that software is coming with the highest gross margin out of the different streams. The attachment rate is very promising and we're very proud of. When it becomes big enough, of course we will provide more granular data around the revenue, but the progress and the trend is very promising and we're very excited about it.
Yoav Zeif: Let me even be -- may I, Eitan?
Eitan Zamir: Yes.
Yoav Zeif: Let me be even more specific. We are selling software and there is a growth year-over-year in our sales, and as you know software is a great way to lock in customer for the long term, because those are recurring revenues and you push more features and you have direct relationship with the customers. And the nice thing that we are selling more GrabCAD, mainly the Pro and the premium solutions of GrabCAD, we have Print Pro and Streamline Pro. There is a demand, we are selling more. I meet many customers every week, every quarter. And the nice thing for me it was like, "Wow, we have a great software," when they asked me, "Can you put your software on other OEM player?" And this is a great proof point how good is our software solution.
Jim Ricchiuti: Got it. Thank you. Congratulations on the quarter. Thanks.
Eitan Zamir: Thank you.
Yoav Zeif: Thank you.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Yoav Zeif: Thank you for joining us. Looking forward to updating you again next quarter.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.